Operator: Please standby. Your program is about to begin. [Operator Instructions] My name is Shelby and I will be your conference operator this morning. At this time, I would like to welcome everyone to Veralto Corporation's Third Quarter 2024 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Ryan Taylor, Vice President of Investor Relations. Mr. Taylor, you may begin your conference.
Ryan Taylor: Good morning, everyone. Thanks for joining us on the call. With me today are Jennifer Honeycutt, our President and Chief Executive Officer; and Sameer Ralhan, our Senior Vice President and Chief Financial Officer. Today's call is simultaneously being webcast. A replay of the webcast will be available on the Investors section of our website later today under the heading Events and Presentations. A replay of this call will be available until November 9. Yesterday, we issued our third quarter news release earnings presentation and supplemental materials, including information required by the SEC related to adjusted or non-GAAP financial measures. Our Form 10-Q was also filed yesterday. These materials are available in the Investors section of our website, www.veralto.com under the heading Quarterly Earnings. Reconciliations of all non-GAAP measures are also provided in the appendix of the webcast slides. Unless otherwise noted, all references to variances are on a year-over-year basis. During the call, we will make forward-looking statements within the meaning of the federal securities laws, including statements regarding events or developments that we believe or anticipate will or may occur in the future. These forward-looking statements are subject to various risks and uncertainties, including those set forth in our SEC filings. Actual results may differ materially from our forward-looking statements. These forward-looking statements speak only as of the date that they are made and we do not assume any obligation to update any forward-looking statements, except as required by law. And with that, I'll turn the call over to Jennifer.
Jennifer Honeycutt: Thank you, Ryan and thank you all for joining our call today. It has been just over 1 year since we became an independent public company. In that time, I am proud of what our team of 16,000 associates has accomplished to establish a track record of consistent performance, profitable growth and investments for the future. These accomplishments are a testament to our talented team and continuous improvement culture powered by the Veralto Enterprise System. VES enables us to differentiate in the marketplace and is deeply ingrained in our culture. It is the driving force of our daily operations as we strive to deliver results with top talent, continually improve for enduring impact and unlock ingenuity for customer success, all while serving humanity with purpose and integrity. During the past year, we simplified the VES toolkit to focus on the fundamentals bolstered by growth tools, operational excellence and high-impact leadership development. This has fortified our execution and enabled us to better capitalize on durable thematic growth drivers across both business segments. Approximately 85% of our sales support the delivery of clean water, safe food and trusted essential goods. Our customers value our products and solutions because they support critical aspects of daily operations where the risk of failure is high. Our businesses are well-established leaders in their industries with earned authority, large installed bases and intimate customer relationships. These factors, along with our high level of recurring revenue and broad service networks create incredibly durable growth and help insulate us from economic cycles. Our third quarter performance underscores the power of VES and the durability of our businesses. Our teams across the world executed well and delivered another quarter of strong performance with mid-single-digit core sales growth, robust margin expansion and strong cash generation. And we continue to increase our investments in sales, marketing and innovation to support future value creation. In addition to these organic investments, we have cultivated a pipeline of inorganic opportunities for both segments aligned to our strategy, purpose and disciplined M&A criteria. Early in the fourth quarter, we completed the acquisition of TraceGains, a leading provider of software solutions that enable consumer brands to meet increasingly stringent compliance regulations for food and beverage safety and traceability. Its cloud-based solutions and large network connect consumer brands with ingredient manufacturers. This enables consumer brands to develop new products more efficiently while also monitoring quality and compliance. TraceGains serves a fast-growing market segment and has grown its top line by 20% compound annual growth rate over the past 3 years. This year, TraceGains expect sales to exceed $30 million with more than 95% on a recurring basis and a gross margin of approximately 80%. The financial profile and recurring revenue business model of TraceGains meets our disciplined acquisition criteria and strengthens our PQI segment. TraceGains is highly complementary to our PQI brands and connect digital workflows for our CPG customers across new product development, compliance and packaging. We now can streamline processes for consumer brands from source to shelf to relieve pain points as they work to accelerate time to market. Synergies with Esko's global customer base, direct sales channel and the application of VES represent key value creation levers that we believe will accelerate TraceGains' growth, expand its market presence and improve its operating efficiency. We believe Veralto is the ideal new home for TraceGains and we're excited to welcome TraceGains' associates to our team. Moving forward, we continue to evaluate additional strategic opportunities that align with our commitment to deliver clean water, safe food and trusted essential goods and position us to seize emerging market opportunities with attractive long-term value creation potential. Now, looking specifically at our consolidated Q3 financial results. We delivered 4.6% core sales growth with volume contributing 2.8% growth and pricing contributing 1.8%. Our growth was broad-based across key end markets and regions, highlighted by continued strong demand for industrial water treatment in North America and gradual recovery across consumer packaged goods markets globally. We expanded adjusted operating margin by 170 basis points year-over-year to 24%. Adjusted earnings per share grew 19% year-over-year to $0.89 and we generated $215 million of free cash flow, further strengthening our financial position. Looking at core sales growth by geography in the third quarter, sales across all 3 major regions grew in the mid-single digits. In North America which represents nearly half of our total company sales, core sales grew 5.5%, with growth across both segments, led by 7% growth in Water Quality. In Water Quality, we continue to capitalize on strong demand for chemical water treatment solutions which grew high single digits in North America. From an industrial market perspective, this growth was broad-based with the strongest growth in food and beverage and chemical processing. We also continue to see strong growth for UV systems at municipalities in North America. In water treatment, we're partnering with customers to help them achieve their sustainability goals related to water conservation, reclamation and reuse. In our water treatment businesses, we are well positioned to benefit from onshoring or reshoring activity in North America. This includes technology investments such as data centers which consume large quantities of water for cooling. At our PQI segment, core sales in North America grew 2.5% in Q3 with packaging color sales up mid-single digits and marking and coding sales up low-single digits. In Western Europe, core sales grew just over 4% year-over-year with both Water Quality and PQI growing near the company average. The sales growth in Western Europe was concentrated in water analytics and marking and coding. Note that our total company growth in Western Europe included an approximately 50 basis point headwind related to the strategic portfolio actions in our Water Quality segment that we mentioned on prior earnings calls. In high-growth markets, core sales grew 4.5% in the third quarter. We continue to see strong growth in Latin America with core sales up about 10%, led by water analytics, water treatment and marking and coding. Latin America now represents about 10% of our total company sales and we are investing for growth in this region. Within high-growth markets, the growth in Latin America more than offset a modest 3% decline of sales into China. Overall, we delivered terrific third quarter financial results on the back of strong commercial and operational execution. And on the strength of our third quarter performance, we raised our full year adjusted EPS guidance. At this time, I'll turn the call over to Sameer to provide details on our third quarter results and guidance for the balance of the year.
Sameer Ralhan: Thanks, Jennifer and good morning, everyone. I'll begin with our consolidated results for the third quarter. Net sales grew 4.7% on a year-over-year basis to just over $1.3 billion. Core sales grew 4.6%. Currency was a modest benefit in the quarter. Our core sales growth was driven by increased volume at 2.8% with positive volume growth across both segments, led by PQI. This marks the second consecutive quarter in which volume grew across both the segments. Price contributed 1.8% growth in this quarter, in line with historical levels. Our recurring revenue grew mid-single digits year-over-year and comprised 61% of our total sales. We expanded margins at both segments through pricing, improved productivity and cost optimization. Gross profit increased 8% year-over-year to $783 million. Gross profit margin improved 200 basis points year-over-year to 59.6%, reflecting the benefits of pricing as well as improved productivity and reduced manufacturing costs. Adjusted operating profit increased 13% year-over-year and adjusted operating profit margin expanded 170 basis points to 24.1%. We delivered strong margin expansion while investing in our sales and marketing efforts to drive future growth. We also increased our R&D investments with R&D as a percent of sales increasing 40 basis points over the prior year period. These investments are aligned with our strategic growth plans and we expect to continue to fund ongoing growth investments. Looking at earnings per share for Q3, adjusted earnings per share grew 19% year-over-year to $0.89. And free cash flow was $215 million or approximately 98% conversion of GAAP net income. Moving on, I'll cover the segment highlights, starting with Water Quality. Our Water Quality segment delivered $801 million of sales, up 3.6% on a year-over-year basis. Currency was a 20 basis-point headwind and divestitures had 20 basis points impact versus the prior year period. In addition, small product lines that we strategically exited in the fourth quarter of 2023 resulted in approximately 70 basis points headwind to core growth for the Water Quality segment in the third quarter. The headwind from these product line exits has annualized and will not impact our fourth quarter results. Core sales grew 4% year-over-year. Pricing contributed 2.1% and volume growth contributed 1.9% to year-over-year core sales growth. Our volume growth was driven by strong demand for water treatment solutions in our industrial end markets and UV treatment systems in municipal end markets. We also saw strong growth in sales of reagents and chemistries to municipalities. Recurring sales across Water Quality segment grew high single digits. Adjusted operating profit increased 4% year-over-year to $199 million and adjusted operating profit margin increased 10 basis points to 24.8%. Moving to the next page, our PQI segment delivered sales of $513 million in the third quarter, up 6.3% year-over-year. Currency was a 40 basis-point tailwind. Core sales grew 5.7%. Volume contributed 4.3% and price increases contributed 1.4% to the year-over-year core sales growth. PQI's recurring sales grew high single digits year-over-year with continued positive momentum across the portfolio. Recurring revenue increased to 64% of PQI sales mix in this quarter. Breaking this down by business, marking and coating sales grew mid-single digits, driven by growth in both consumables and equipment. The strongest growth was at food and beverage applications with our CPG customer base. In our packaging and color business, core sales grew high single digits year-over-year, led by growth in recurring software and subscription revenue. PQI's adjusted operating profit was $142 million in the third quarter, up $32 million over the prior year period, resulting in an adjusted operating profit margin of 27.7%. That represents a 490 basis-point improvement in adjusted operating profit margin over the prior year period. The margin expansion was driven primarily by pricing, strong operating leverage and cost optimization initiatives. As a reminder, PQI's profitability in the third quarter of 2023 was unfavorably impacted by changes in foreign currency, particularly the devaluation of the Argentine peso which did not repeat in the third quarter of 2024. Overall, it was a very strong quarter for PQI which further demonstrates the earnings power of our PQI businesses. Turning now to our balance sheet and cash flow. In Q3, we generated $224 million of cash from operations. Cash flow from operations for the third quarter reflects the biannual cash interest payments on our senior notes. We also invested $9 million in capital expenditures. Free cash flow was $215 million in the quarter or 98% conversion of GAAP net income. At the end of the third quarter, gross debt was $2.6 billion and cash on hand was $1.27 billion. Net debt was $1.37 billion, resulting in net leverage of 1.1x. As Jennifer shared, early in the fourth quarter, we acquired TraceGains at a gross purchase price of $350 million. The deal was funded with cash on hand. Pro forma for this acquisition, our financial position still remains strong and we continue to have flexibility in how we deploy capital to create long-term shareholder value with a bias towards M&A. We have an attractive pipeline of opportunities in both Water Quality and PQI. We will remain disciplined in our approach as we continue to deploy capital to create long-term shareholder value. Turning now to our guidance for the fourth quarter. We are targeting core sales growth in the low to mid-single-digit range on a year-over-year basis, consistent with the level of core growth we reported in the second and third quarter of 2024. We expect acquisitions to contribute about 60 basis points to year-over-year sales growth. Including the impact of the TraceGains acquisition, we expect adjusted operating profit margin of approximately 24% in the fourth quarter. This represents 30 basis points of improvement in adjusted operating profit margin on a year-over-year basis and is flat sequentially. And our Q4 2024 guidance for adjusted EPS is $0.86 to $0.90 per share. For the full year, we raised our adjusted EPS guidance to a range of $3.44 per share to $3.48 per share. Midpoint of our updated full year adjusted EPS guidance of $3.46 per share is up $0.05 from the prior guidance. Also at the midpoint, this represents year-over-year adjusted EPS growth of 8%. That concludes my prepared remarks. At this point, I'll turn the call back over to Jennifer for closing remarks.
Jennifer Honeycutt: Thanks, Sameer. In summary, we delivered high-quality growth and margin expansion in the third quarter, further demonstrating the durability of our business, the power of VES and the talent of our team. Across the company, we are executing well and capitalizing on the secular growth drivers across both segments. Based on the strength of our third quarter results, we raised our full year adjusted EPS guidance. And at the outset of the fourth quarter, we completed the acquisition of TraceGains. Our financial position remains strong and we continue to evaluate additional strategic opportunities within our disciplined framework of market, company and valuation. As we look longer term, we remain committed to creating value through steady, durable sales growth, continuous improvement and disciplined capital allocation. That concludes our prepared remarks. And at this time, we are happy to take your questions.
Operator: [Operator Instructions] And we'll take our first question from Andy Kaplowitz with Citigroup.
Andy Kaplowitz: Sameer, I know you want to be conservative but just looking at the Q4 guidance, you're guiding below Q3's core growth. And adjusted operating margin, even as it seems like PQI continues to recover, I know your year-over-year comp in Q4 is a bit more difficult than Q3. And I think you just said you have some minor negative TraceGains impacts in there for Q4. But any other reason why year-over-year growth in margin would be a little down in Q4 versus Q3? Is there just a bit of conservatism in the guide?
Sameer Ralhan: Andy, thanks. Look from the margin perspective, really, on a year-over-year basis, when you look at it, it's really three things that are kind of driving it. The first one is, of course, the TraceGains, the operating impact as well as some of the transaction costs, so that's roughly 30 bps of an impact that you're going to see in Q4. And then the higher corporate costs as they're getting to the run rate tied to some of the onetime costs related to first year activities as a public company. So, that's another kind of a 50 basis point Andy. So those combined are almost 80 bps of an impact on the margin in Q4 and then after that, it's really a mix of equipment sales as the printer sales, we feel really good about some of that engagement with the customers, that equipment volumes coming back, that's going to have an impact on the margin. So those are the really three things Andy which are kind of driving our view on the 24% margin for Q4.
Andy Kaplowitz: And just the growth side, Sameer, like anything to sort of call out there just kind of similar to Q3?
Sameer Ralhan: Similar to Q3, look, when I think the overall sort of demand patterns are very similar on the consumer package, so good side for PQI. We feel encouraged. It's a kind of a steady recovery that we are seeing in the marketplace. And the water again, you saw the -- our commentary around the industrial end markets that we saw in North America that continues. Europe is steady. And I think China, we are all watching. It's just kind of sequentially flat is what you kind of think about from a guide perspective. And just as a reminder, on the growth side, when you kind of start looking from a year-over-year perspective Andy, Q4 was strong in China. So that's going to be a little bit of an impact, Q4 last year. So that's a little bit of an impact. But no, it's almost like a Q3 kind of a quarter.
Andy Kaplowitz: Got it. And then Jennifer, can you give us a little more color into your thought process of how TraceGains is going to help drive growth through revenue synergies in PQI? Obviously, you mentioned source-to-shelf solutions. TraceGains, we know is already growing fast. But are you expecting TraceGains to allow you to take more market share with food and beverage customers in the near term and maybe that enhances your overall core growth. How do you think about that?
Jennifer Honeycutt: Yes, thanks for the question. We're really excited about TraceGains. They provide a cloud-based solution that connect the brands with ingredient manufacturers and help address increasingly stringent compliance regulations for food and beverage safety and traceability. The synergy with Esko allows us to integrate the packaging and the new product development workflows. It also helps improve data integrity and reduce time to market which are 2 critical pain points for customers. In terms of the outlook there, they've been a strong grower in terms of delivering double-digit sales growth since 2022. We would expect this momentum to continue as we think about food and beverage customers being early in their digitization journey. So with the macro of regulatory drivers, consumer safety mandates, we feel really good about bringing this business in and getting synergy with Esko to drive forward momentum and improve our growth profile there.
Operator: We'll take our next question from Mike Halloran with Baird.
Mike Halloran: So first one, just on the CPG side and the underlying trends you're seeing sequentially through the quarter and into 4Q here. Any change in the thought process on how the improvement is coming around on that side of things? I know the content so far has talked about a gradual improvement. Any tone change? And then maybe talk about the moving pieces behind it that give you confidence into '25?
Jennifer Honeycutt: Yes. I mean I think we continue to be encouraged by the ongoing recovery in CPG but we also see it as slow and steady. Some of our early indicators here are that we've just completed the fifth consecutive quarter of mid- to high single-digit growth in recurring revenue at PQI. And as we've mentioned in prior calls, this is an indication that lines are coming back online that they're being refurbished and now that we've seen two consecutive quarters of year-over-year growth in equipment sales, it also suggests that brand owners are upgrading their printer technology and replacing printers that are aging out. So we see continued strength here. We think it's kind of slow and gradual. We're not going to see any dramatic inflection points but we're pretty confident that what we're seeing is good, robust market recovery. And relative to the submarkets, data is a little bit mixed. Beverages are generally up, elective snacks are down but at-home food spend is still a little bit negative. It is improving sequentially. And so we are encouraged by the market indicators but still early days in the recovery and we expect to continue to execute well. I think our recent product launches and newest innovations are also gaining momentum.
Mike Halloran: Helpful. Appreciate that. And then just on the packaging color side of things, now that you have TraceGains in there, broadens out the offering. When you think about that digital workflow that you're trying to accomplish, what are the gaps? What do you feel like is left to fill in and organic versus inorganic? I'm assuming more of that fill in is inorganic. But curious what's left and where you see the air pocket still in the offering?
Jennifer Honeycutt: Yes. I mean, I think it's early, as we said in the digitization journey for CPG customers. There are a lot of sort of disaggregated data flows and needs that they have to tick and tie information. And really, what we're looking to do is to make sure that we're well positioned to solve unmet customer needs and address some of those pain points. So we do see more optionality in the space, both organically and inorganically and we're excited about that in the future.
Operator: We'll take our next question from Nathan Jones with Stifel.
Nathan Jones: I guess I wanted to start on a comment you made in your prepared remarks, Jennifer, on having simplified the VES tool set and having that make the business better able to capitalize on durable growth trends. I wonder if you could just talk a little bit more about the kinds of things that you've done to adapt the VES system to Veralto and how you think that positions you to better capitalize and durable growth trends?
Jennifer Honeycutt: Yes. I mean I think once we came over a little over a year ago, we took a hard look at the tools in terms of which were really material to improving sort of growth and profitability profile, giving us access to markets, accelerating new product development and so on. And so the simplification was really focused around narrowing the field of tools that sit in what we call the VES Fundamentals. And these are tools, it's 5 or 6 tools that are relevant to every function and every business regardless of where you sit in the organization. And it's really a disciplined approach to good critical thinking and problem-solving and how you know that you're winning each and every day, whether you're red or green in terms of visual management and how you're correcting course along the way. We've subsequently fortified that tool set with very select growth tools, operational excellence tools and leadership tools. And so the way to think about this, Nathan, is we've narrowed the tool set to the critical view to drive discipline and focus. And we've made sure that VES is really being used by everyone, all functions, all businesses and so on. So we're excited about sort of the new simplified way of creating focus here. And I -- as I mentioned, we selectively will develop tools as and when the business needs them going forward.
Nathan Jones: And then, I've got one on TraceGains. Can you talk about what the algorithm is you need to achieve out of TraceGains in terms of gross margin expansion to hit that double-digit ROI by year 6? And then I think there's some planned investments to go into that business to drive growth. Maybe just a comment on whether that should be accretive or decretive to earnings in 2025?
Jennifer Honeycutt: Yes. I think we really like the growth profile here. Obviously, they've been growing solid double digits here in recent history. We have seen them continue to invest here and we will continue to invest to fuel their growth. They are an early phase business but maybe to the numbers specifically, I'll turn that over to Sameer.
Sameer Ralhan: Thanks, Jennifer. Yes Nathan, as you're going to look at from the '25 perspective, the way it stands right now as Jennifer said, given the growth that we're seeing that TraceGains and the investments that we'll continue to make to drive that growth, we expect it to be modestly dilutive. But just to put in perspective, there's a pretty small acquisition. So it's not going to -- it's going to have a minimal impact at best on '25. But we'll walk through the '25 EPS growth bridge when we come back in February and talk about '25 guide.
Operator: And we'll take our next question from Deane Dray with RBC Capital Markets.
Deane Dray: There's a major fast food company going through a food contamination situation. I'm not asking you to comment specifically on it but as a use case hypothetically, how does Veralto have positioned in the food chain to be able to identify and do that kind of trace work on a kind of an emergency basis?
Jennifer Honeycutt: Well, as you know, Deane, we've got a broad portfolio of solutions relative to contaminant control and detection. Most of that sits on the water side. Some of that is transferable to the food side of things. Today, most of our analytics really sits on the inorganic side of the business. We do have good technologies to bring to bear in this space. But certainly, when it comes to sort of an acute outbreak of a food-borne issue, we don't play as heavily there than we might play if it was a waterborne outbreak. So we're well positioned certainly in the water space and anything that relates to water. And we think we've got a good play here with the addition of TraceGains and we're excited about how we think about that market going forward.
Deane Dray: Yes Jennifer, I'm not asking so much about the analytics around Salmonella on what the actual contaminant was but just the traceability across the food chain of what producer, there's bar codes, there's shipment data and so forth. And you're part of that chain and that's part of the traceability appeal of Veralto. Just hypothetically, how would that work?
Jennifer Honeycutt: Yes, absolutely. I mean if you're thinking about traceability and following a contaminant or a series of contaminants through the food chain and food cycle, we are well prepared to do that. TraceGains gets us to the traceability of the ingredient information, right? And for brand manufacturers, that's incredibly important in terms of where they're sourcing raw materials. But frankly, our coding and marking business will give you date codes, lot codes and traceability for how to identify where those products have gone and how to actually ring-fence quarantine them and pull them off the market. So we're well positioned here.
Deane Dray: All right. That's exactly what I was looking for. So I appreciate that. And then just a follow-up for Sameer and or Jennifer. You all referenced a disciplined acquisition criteria. And as far as I know, you all haven't really laid this out and wasn't at your Investor Day. What are the hurdles that you set because the expected double-digit ROIC for TraceGains is rather extended versus -- and we get it a SaaS business, it's a different set of expectations versus industrial acquisitions? But just give us a sense of what the acquisition hurdles are as we think about prospective M&A?
Sameer Ralhan: Hey Deane, I'll take that one. From an M&A perspective, as you know, as we look at the opportunity set, it's always deeply rooted in our framework which is market company valuation. And from the financial metrics point of view, things like ROIC growth, margin, cash flow accretion are all very important as we kind of evaluate all the opportunities. It's all about striking the right balance depending on the acquisitions. What I would say is from an ROIC perspective. It depends on the complexity and the kind of deal. For example, if it's a small bolt-on that we are looking at, that will be -- we expect to be a cost of capital by year 3. And if it's a large acquisition, is a technology acquisition, for example, TraceGains is a great example for that, we'll achieve ROIC close to cost of capital by year 5 or 6 [ph].
Operator: We'll take our next question from Brian Lee with Goldman Sachs.
Brian Lee: Maybe first one for Sameer. You mentioned you're seeing good strength in PQI, some of the equipment sales seem like they're going to start to flow through more meaningfully into 4Q but have some slight margin implications. Can you quantify that? And then given kind of the backlog and visibility you have on equipment volumes into, I guess, 2025, should we expect that level to maybe persist in the PQI margins for a couple more quarters?
Sameer Ralhan: Thanks, Brian. Thanks for your question. As we kind of look at the equipment side, first of all, from a growth perspective, we expect -- we feel really good about the engagement that we have with the customers right now and all the signals that the teams are getting, we expect the equipment recovery to happen over the next few quarters in 2025. So it's going to be a slow and steady kind of a gradual recovery in the equipment side. From a margin perspective, the way to quantify it is to really look at what the mix was in 2019, right but things will -- a little more normalize on where the gross margins were that kind of helps you quantify a little bit on what the impact may be. But again, things have changed quite a bit. And as Jennifer said earlier, we have simplified VES. We're attacking all these things from a VES perspective. So we'll mitigate any impact as much as we can but it is going to have a little bit of an impact on the gross margin.
Brian Lee: Okay, great. That's helpful. And then, maybe just on China. You called it out as a modest headwind on growth this quarter, I think 3%. You're saying it's going to be flat sequential but you had a tougher comp from Q4 last year. Just kind of taking a step back, can you speak to sort of what you're seeing on the ground in China if this is sort of just bouncing along bottom for a little while? Is there any potential for a pickup as you see it in the near term just with some of the stimulus potentially brewing out there? Just any views on kind of the state of the state in China.
Jennifer Honeycutt: Yes, thanks for the question. On an aggregate level, I think the year is playing out as we anticipated in China, really no meaningful recovery or change in sales and demand profile. To use your words, we kind of are bouncing along the bottom. We were down modestly, about 3% year-over-year. But from a segment perspective, we kind of have two different trends here in Q3. We are seeing in PQI modest recovery in both CPG and industrial markets as they reignite their manufacturing activity over there. So we are seeing modest growth there. In Water Quality, kind of a little bit of the opposite. We continue to see challenges in funding at municipal customer sites. And then certainly, from a year-over-year perspective, we had a pretty significant number of orders go out on semiconductor projects from our Trojan business last year. So they had a very strong sort of second half in 2023 that is not going to repeat here in 2024. The good news, if there is some silver lining here, is that we still see strong demand here in the U.S. for semiconductor orders and activity. So a little bit of a shift in terms of where that business is occurring. In near term, we're just not expecting really any overall improvement. It's kind of going to be more of the same.
Operator: We'll take our next question from Andrew Buscaglia with BNP.
Andrew Buscaglia: I just wanted to start out with Water Quality, sales very solid. Margins also good but maybe a little bit below what I was forecasting. And I'm wondering if you could kind of dig into the different -- the margin differential with analytics and treatment? It looks like treatment or analytics is lagging a little bit behind treatment. And how do you see that playing out over the next 12 months with how those progressed and maybe the margin impact?
Sameer Ralhan: Yes, I'll take that one. If you look at it from a margin perspective, right, you're right. Analytics has been growing nicely. It's a more steady business for us, as you know Andrew. But on the other hand, the treatment side, you've seen some really good growth from the industrial end markets. Analytics tends to be a little higher margin. There's not a huge delta but a slightly higher margin than the industrial and the chemical treatment kind of businesses. So that mix has a little bit of an impact but nothing sort of a major. I would say the only other thing really Andrew, is quarter-to-quarter, means impacts. We'll be making investments, as we said, as we're going to think about growth and the growth opportunities that we see for the business in 2025. We are getting up for those growth opportunities, making those investments on the sales and marketing side. That's really the impact. But beyond that, I wouldn't read too much into it.
Andrew Buscaglia: Okay. And PQI has been such a great story all year. I'm wondering if a lot of these a lot of analysts like myself don't have a ton of context but in terms of understanding that CPG markets and cycles. How does this cycle feel versus past ones in terms of recovery? Because this tend to be a low single-digit business long term but you can have some big swings to the upside. So what do you -- how do you guys see that playing out this cycle?
Jennifer Honeycutt: Yes, we really like the PQI business. And I think if you look at its history over the past 20 years, we've only had sort of 3 periods of contraction. So it tends to hold up really well through various economic cycles. And what I would say in comparing this recovery to prior recoveries is prior recoveries was more of a V-shaped recovery kind of fast down and fast up. I think what we've seen sort of post pandemic is a gradual and steady progressive sequential improvement, so it's more U-shaped than V-shaped. But we continue to be encouraged by the leading indicators that we see in terms of volume of -- that's published from our top CPG customers and demand continues to consistently grow and that's also supported by the sales out that we've seen from our recurring revenue and then the two sequential quarters of equipment growth. So again, I think it's a slow and steady wins the race here. We're not going to see any huge inflection points but we're encouraged by certainly what we see in the market today.
Sameer Ralhan: Shelby, we're ready for the next question.
Operator: We'll take our next question from Andrew Krill with Deutsche Bank.
Andrew Krill: I wanted to sort of go back to the strong Latin America growth. I was wondering if you could expand a little on like why you think this all of a sudden accelerated so much and has this been years of investment that's kind of finally coming through? And then do you think it's sustainable going forward? And maybe any color on like the margins here, if there are any different than the company average?
Jennifer Honeycutt: Yes, thank you for the question Andrew. We've been really pleased with our performance in Latin America. And we've watched this region closely over the course of the last couple of years here. We've made some commercial investments here to sort of focus the team at capturing the highest growth opportunities. And so I think what we're seeing there is the benefit of some reshoring or onshoring activity as some of the customers look to diversify their risk and insulate themselves from any sort of geographical constraints that they might see in China. But we're also starting to see some benefit from privatization of water utilities in Brazil. That's giving us some good opportunity around how we serve those customers and some changes in business model that help us serve them effectively. So, I think this is a reason for us to continue to stay focused on. As you know, we said in our prepared remarks, Latin America represents 10% of our total sales and it's growing well for us.
Andrew Krill: Anything on just the margins or should we assume they're kind of similar to the company average?
Sameer Ralhan: It's very similar Andrew, I think nothing dramatically different.
Andrew Krill: Got it. And then, going back to the broader M&A pipeline discussion. Just wondering if you -- as I think TraceGains came through, just is there like a theoretical limit to the number of deals you think the company can handle per year? And I guess, in terms of maybe bolt-ons, is there a number? And if you did a larger, would you expect to kind of take your foot off the gas with bolt-on?
Jennifer Honeycutt: Thanks for the question. M&A is fairly episodic. We don't necessarily control the timing here. But what we can say is we're excited about the level of activity and engagement we have for both sides of the house. Funnels for Water Quality and PQI are both very full and we continue to be heavily engaged in this area. We don't set thresholds or limits to what we can digest here by way of number of deals or size. It stands to reason that we feel well prepared to be able to execute on our M&A playbook and bring in deals of various sizes and scale as and when we find the right intersection of market company and valuation. So again, this is an area that we're excited about. We don't have any preset thresholds but we will capitalize on the opportunity as and when we're able to go after deals that meet our stringent criteria.
Operator: We'll take our next question from Joe Giordano with TD Cowen.
Joe Giordano: I just wanted to touch back on the margins on Water Quality. I know Sameer mentioned some of the puts and takes there. But if I look at year-on-year growth it was pretty strong. Price is pretty good. and you had some divestments which I assume are lower margin than the fleet average there. So like the leverage there, obviously, it was up 10 bps year-on-year. Can you just talk through like the lack of leverage in the quarter and like what, if anything, are kind of more onetime in the quarter that might go away if you were to keep growing at this pace?
Sameer Ralhan: Yes, Joe, I'll take that one. If you look at from a margin perspective, right, on the Water Quality side, we talked a little bit of the puts and takes but still the fall-through is close to 30%. So as you kind of think about from a long-term growth algorithm perspective in the 30%, 35%, so they're pretty close. And that's also, as we said, we are making investments in the sales and marketing side in that business as we're going to think about how we orient ourselves to capture the future growth. And then when we move to PQI, the fall through has been really good. It's a little over 100%. And even if you pro forma for the onetime, I think there's only one thing that you can think about onetime item and that was in 2023, Q3, the Argentine peso impact. Even if you pro forma on that, the fall through in PQI has been close to 80%. So net-net at the company level, we are a 60% kind of a fall through. So overall fall-through has been good. And as we kind of move into the '24, I kind of laid out some of the puts and takes on the margin side. So there's nothing one-off items kind of thing here, Joe, that are impacting the margins.
Joe Giordano: Okay. And then on CapEx, like can you talk about the long-term needs of the organization? It's still -- it's extremely light kind of percentage of sales and even if I was to apply all the CapEx to just Water Quality, it's still pretty low. So what should that kind of balance out as a percentage? And then just add one quick one on TraceGains afterwards.
Sameer Ralhan: Yes. I mean if you look at the CapEx side, it's really -- we are not a very capital-intensive business, as you know, right? It's a pretty asset-light model. The strength of the business is driving the values really through -- on the R&D side and the commercial side. That's where you see the investments and then the impact on the P&L side. But from a CapEx, 1% to 2% is how you should think about that. It really comes down to the projects, depending on how they're going to pan out from a timing perspective. But 1% to 2% is the right way to thinking about the CapEx for us. We're running a little light this year.
Joe Giordano: Okay. And then just last on TraceGains. You mentioned the combination with Esko. I'm just curious, like from a customer standpoint, how does this work? Like are you -- are these independent offerings that are being pitched separately? Or are you going to be able to get TraceGains through the Esko platform like I'm just curious as to what the customer experience is to have that whole totality of the -- from source to shelf?
Jennifer Honeycutt: Yes, thanks for the question. I think the way to think about this is we will serve customers in the way that they want to be served. One thing that we do see is Esko has got great strength at the enterprise level and TraceGains has got great strength kind of at the mid-market level. The cross-pollination of the two will catalyze sort of expanded share of wallet, I think, at customers and give them more solutions to their sort of digital integration challenges that they're working with today. So it will vary by region. It will vary by customer but we feel good about the combination of the two going forward.
Operator: We'll take our next question from Damian Karas with UBS.
Damian Karas: Sameer, sorry if I missed this, did you quantify how much of a headwind the Water Quality product exits were to the third quarter sales?
Sameer Ralhan: I'm sorry, Damian, can you repeat that?
Damian Karas: The Water Quality product exits.
Sameer Ralhan: It's roughly 70 basis points on the growth side, Damian.
Damian Karas: 70 to the segment, 50 to the total company 50 bps; that's helpful. I wanted to ask you guys, so there's some updated regulations requiring a lower threshold for lead and copper in drinking water systems that were finalized earlier in the month. Just curious if you think that, that's something that could have a meaningful impact on your business? I mean, is there a good way to kind of think about that? I think there's 10 years to meet the requirement. Would you expect implementation to happen sooner rather than later? Or is that the type of change that everyone kind of just waits until the last minute to address?
Jennifer Honeycutt: So Damian, the way to think about this is our analytics business is 4 to 5x the menu of anyone else in the market. We've got the broadest portfolio with decades of innovation in this space. We are already well positioned with our technologies associated with detecting lead and copper. So unless there is an increase in frequency of testing which there may be on the margin, just to validate, we would expect this to just be business that we get in the normal course of running the business. So, I wouldn't think about this as a huge opportunity for increased sales. There may be a period of time of sort of marginal increase in testing, just to verify what you've got in place. But we're already well positioned here with our existing technologies.
Operator: We'll take our last question from Brad Hewitt with Wolfe Research.
Brad Hewitt: So as we think about the M&A pipeline more broadly, how should we think about the distribution of the funnel as it relates to the time required to get to 10% ROIC? Would you expect the majority of targets are kind of more in the 4- to 5-year time frame you get to that 10% ROIC rather than the 6 years for TraceGains?
Sameer Ralhan: Yes, it's a pretty broad range, right? As we kind of talked earlier, the pipelines are pretty full on both sides of Water Quality and PQI but it's really a mosaic of opportunities as you're going to think about, Brad, some of our technology investments which are going to be on the longer side. And at the same time, there are a bunch of bolt-ons and the larger transactions as well. So bolt-on should be on the quicker -- on the closer side, it's a pretty broad range. I wouldn't say it's skewed one way or the other.
Brad Hewitt: Okay, that's helpful. And then, curious how important entry multiples are in your decision-making process for M&A? And how do you think about the triangulation between entry multiples and what that implies for business quality versus the path to 10% ROIC?
Sameer Ralhan: Look it's really about value creation, Brad. It's the input, as you said, the entry multiple and what we can do with the business, how we can fuel the growth or drive the margin expansion to the application of VES. So it's a combination of all those things. I would say our focus is ultimately doing transactions, adding things to our portfolio which drives long-term value creation. So, everything kind of starts from that.
Ryan Taylor: Thanks, Brad and thanks, everybody, for joining the call. This is Ryan Taylor. We are at the hour time, so we're going to conclude the call for this time. I'll be available for any follow-ups. Please reach out to me if you have any further questions. We really appreciate the engagement and support and joining our call today and we'll talk to you next time.
Operator: That concludes today's teleconference. Thank you for your participation. You may now disconnect.